Operator: Ladies and gentlemen, welcome to the Sartorius and Sartorius Stedim Biotech H1 2025 Conference Call and Live Webcast. I am Mathilde, the Chorus Call operator. [Operator Instructions] The conference is being recorded. This call is scheduled for 60 minutes. Presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Michael Grosse, CEO. Please go ahead.
Michael Grosse: Thank you, Mathilde, and good afternoon, everyone, and thank you for joining today's call on our H1 results of the Sartorius AG as well as Sartorius Stedim Biotech. Today, I'm together with Florian Funck, our CFO; with René Fáber, our Head of Bioprocessing Division and CEO of Sartorius Stedim Biotech; and also Alexandra Gatzemeyer, our Head of the Lab division. But before I walk you through our financials and the full year outlook of the Sartorius AG, I would like to take the opportunity to introduce myself and share how excited I am to step into the role of the CEO at Sartorius. Maybe very briefly on my vitae, you may have seen that I hold a degree in mechanical engineering and a Ph.D. and spent the last 20 years in the processing and packaging industry for pharmaceuticals and for food most recently as CEO of Syntegon, a spin-off of Bosch. And before that, I spent many years in executive roles in Sweden, in Switzerland, in the Executive Board of Tetra Pak and before that, in the automotive industry with BMW and Ford Motor Company. And now I joined Sartorius actually 22 days ago and truly look forward to working not only together with my colleague and the team here and our customers, but also with you. It's actually a great privilege to lead this exceptional company with this outstanding team. Sartorius has an incredibly strong foundation in the scientific excellence world around innovation, uncompromised quality and trusted partnership with our customers in the life science industry. I'm deeply energized by this opportunity and by all the opportunities that lie ahead of us. Now in the recent weeks and months, I have been rather busy and connecting with all the colleagues, customers and partners around the world to understand their expectations and perspectives of the industry. These conversations have only reinforced my view of Sartorius as a company with tremendous strength and highly respected position in the industry. It's been an overwhelming start in the truly best sense of this word. My goal is to build on the successful trajectory that has been set by my predecessor, Joachim Kreuzburg, while empowering our teams in order to accelerate innovation and performance, delivering even more impactful solutions to our customers and ultimately to patients. Together, we will continue evolving our strategy to stay closely aligned with our customer needs and to drive the broader industry development. And as we move forward, we remain guided by our shared vision to simplify progress in biopharma and life science research, eventually leading to better health for more people. And now let me start walking you through the highlights of the first half year of 2025. Now looking at the results for the last 6 months, we are pleased with our business performance. And as expected, we saw a strong growth in consumables, which remains the most relevant driver for our overall business. Revenue grew by 6% in constant currencies, which translated into significant margin expansion driven by volume, product mix and economies of scale. The underlying EBITDA increased by a strong 12% year-over-year, bringing our underlying EBITDA margin close to 30%. Our Bioprocessing Solutions sales revenue grew by nearly 9% year-over-year on a constant currency basis, driven by the growth in consumables. The equipment business remains soft, however, but we see a positive development in the opportunity funnel as we are engaging in a number of promising conversations with customers considering new investments. Lab Products & Services with a strong focus on instruments delivered a solid performance as well in the recurring business with lab consumables and services. This could, however, not compensate for the continued hesitation around larger capital investments by our customers. Sales revenue hence declined by 4% in constant currency. Now the MatTek acquisition was closed on July 1 and sales and earnings contributions will be included in the division's financial results from the second half of the year onwards. We launched several new products in both divisions to enhance the efficiency and productivity of our customers' drug development and manufacturing processes. I would like to briefly mention and highlight only 2 examples here that I found exceptional. As you know, we have developed a platform for incentivized bioprocesses in collaboration with our customer, Sanofi. We have now launched in the first 2 modules, which automate and intensify several purification steps. The system is designed to deliver savings in production costs, higher productivity, shorter time to market and lower CO2 emissions. Two additional modules for further production steps are now scheduled to follow in 2026. In LPS, we enhanced our biological -- our bioanalytical offering with new generations of 3 established instruments that enable customers to achieve better research results faster. One is our IncuCyte a market-leading instrument that allows researchers to continuously observe and analyze living cells in real time. The new model is the only one on the market that enables confocal  imaging directly inside an incubator. Confocal imaging is particularly suitable for analyzing organoids and micro tissues. These complex 3D cell models mimic human tissue, delivering more accurate and reproducible results and thus accelerate the development of new drugs. In addition, they reduce the need for animal testing and research. And now let's turn to the numbers. We generate free cash flow, enabling us to reduce our leverage ratio as planned. And based on our strong half year performance as well as our orders on hand, our expectations for the second year, driven as well by our dialogue with our customers, we are confirming our full year 2025 guidance as we feel very comfortable with the numbers provided. Now with this, I would like to hand over to Florian, who will walk us through the details in the presentation. Florian, over to you.
Florian Funck: Thank you very much, Michael, and also welcome from my side. And I'm very happy to take you now through our set of numbers, reflecting a continuation of the positive business dynamics that we've seen since some time. Starting with sales, which is up by 6.1% in constant currencies and 5.2% in reported currency to EUR 1.767 billion. This positive development is driven by a double-digit growing recurring business, which is the dominant part of our business, as you know, while the nonrecurring part continues to be soft and down double digit. Looking at the differential of constant currency growth and growth in reported currency, it is obvious that the FX situation changed from Q1 to Q2. So contrary to Q1, where we had some FX tailwinds, especially the weakening of the U.S. dollar in Q2 generated some headwinds of 90 basis points to our H1 performance in reported currency. So obviously, if the U.S. dollar to euro exchange rate stays on the current level, the negative FX impact will be higher in H2 versus H1. But please note that all our sales revenue guidance figures are in constant currencies. Besides the swing in foreign exchange developments, Q2 also marked the beginning of tariff challenges for our industry and started with Liberation Day on April 2. We have taken several measures, as you know, to limit the tariff impact on our business with one of them being the successful introduction of tariff surcharges to our U.S. customers. As most of the U.S. demand for Q2 is either coming and produced in the U.S. or was already available in our warehouses, the effects on top line in Q2 and H1 of the tariffs were minimal. So it was a mid-single-digit million euro figure with no effect on our profitability. But we are expecting the effects to somewhat increase over H2 even if the tariff rate stays at the current 10% level. The scope of this increase, of course, is depending on the final tariffs being imposed. We will, of course, talk about this going forward in our publications to create sufficient transparency for investors and analysts, but we don't want to speculate on tariff settings going forward. Order intake in H1 also developed as expected and grew more than sales. As you know, we have stopped giving quarterly order intake numbers as this is neither standard in this industry nor in our perspective in this current market setting, helping to analyze the short-term business. We rather think that the 12-month rolling number better reflects the underlying trend of business. And here, we can report that this number is above 1 and constantly improving for quite some quarters. The positive top line development is also reflected in underlying EBITDA and EBITDA margin. Underlying EBITDA grew overproportionately by 11.9% to EUR 527 million. Margin increased by 170 basis points to 29.8%. This margin expansion was driven by positive volume and product mix effects and economies of scale. Also, underlying EPS grew nicely by around 30%. Let's have a look at the regional performance. Looking at the regions, all 3 regions reported a very solid growth with the Americas showing the strongest growth in H1, also based on easier comps. Growth in all regions was driven by consumables, while the equipment business was soft across the board. Let's move on to our divisions, starting with BPS. It has been a very strong H1 for BPS with sales growth in constant currencies of around 9% to EUR 1.435 billion. Growth was driven by recurring business that showed strong double-digit growth, compensating for the soft equipment business being double-digit down. We are seeing a good level of customer interaction with regards to our equipment business, especially around manufacturing technologies that allow for significant efficiency and yield increase on the customer side. But still, in this overall phase of uncertainty, customers are reluctant to sign orders at this point in time. BPS last 12 months B2B shows, as for the group, a consistent growth over the last 2 years with values of above 1 since Q2 '24. Looking at underlying EBITDA and margin, we see underlying EBITDA growing by around 17% to EUR 453 million. Margin is up by 240 basis points and comes in at 31.6% very healthily in H1 '25. This was driven by volume and mix effects and economies of scale on a leaner cost base after our efficiency program implemented last year. Let's move on to LPS. With its high exposure to nonrecurring and CapEx-driven business, LPS continues to be confronted with a challenging market situation. Sales were down 4 percentage points in constant currencies and 4.8% in reported currency, and this was driven by the nonrecurring business that developed double-digit negatively, while the recurring side of the business largely grew across all regions. Especially our business with bioanalytic instruments is suffering in the situation where customers are pushing out their investment decisions. This has also an impact on the margin that went down from 23.6% in the prior year to 22.3% in H1 '25. And drivers here, of course, was volume first and then, of course, also mix, as you know that the bioanalytical instruments are, from a margin perspective, the best performing ones. Let me also comment on the performance below the underlying EBITDA, looking at net profit and also cash flow metrics. As you can see, the underlying EBITDA growth of EUR 56 million or 11.9% translated into an overproportional growth in underlying net profit of 13.7% and especially reported net profit of 33%. Operating cash flow came in solidly with EUR 289 million. And this is below the EUR 347 million we were able to report last year, but please bear in mind that we were pulling the inventory and accounts receivable lever heavily in H1 '24. And as you know, you can only pull these levers once. And therefore, we are seeing here in the operating cash flow, a reduction of 16.6%. And furthermore, commenting on net working capital, we wanted to ensure delivery reliability to our customers alongside the overall nicely growing business. It states our ambition and clear target to increase the net working capital under-proportionately to the sales growth in 2025, just to reconfirm that. Combined with the low H1 CapEx ratio and the corresponding investing cash flow of minus EUR 167 million, free cash flow grew by EUR 14 million to EUR 122 million. These do not multiply the investing cash flow of H1 x2 to become to our 2025 forecast assumption. There will be some CapEx seasonality with H1 showing higher CapEx numbers than H1. CapEx ratio as a percentage of sales dropped accordingly in H1 to 9.1%. And as guided, we are expecting to be at a CapEx ratio for the full year '25 of around 12.5% of sales. Now looking at the balance sheet-related key figures. We firstly see an ongoing strong equity ratio of 37.8% and the reduction in equity and equity ratio is only due to FX effects and the approved dividend that we paid out in the beginning of Q2 '25. Net debt slightly increased mainly due to some noncash positions such as leasing and also accrued interest for our bonds, which is then payable in September this year. Net debt to underlying EBITDA improved from 4.0x to 3.8x in H1. So we are well underway on our planned deleveraging path. And as you can see in the title, we very much also stay committed to our investment-grade rating. And with that, I would like to hand over to my colleague, Michael Grosse, again.
Michael Grosse: Thank you, Florian. Very appreciate it. Now let us turn to our outlook for the full year. Again, for the group, we are expecting an increase in constant currencies by 6%, for BPS by 7% and for LPS by 1%, all at the midpoint and all with a guidance range of plus/minus 2 percentage points. Our recent acquisition, MatTek, should add approximately 1 percentage point to the LPS full year revenue development. And for now, we leave the plus/minus 2 percent points of bandwidth at this point untouched due to the fact that we still believe that volatilities in the market globally remain reasonably high. Our EBITDA margin guidance is 29% to 30% for the group, 31% to 32% for BPS and 22% to 23% for LPS. Now let me be clear. I mean, we looked into our perspective of the coming half year with a specific focus and I want to be clear that we are feeling comfortable, really comfortable with the full year guidance on the group level, recognizing, of course, that the comfort level on the BPS side is stronger than it is, and there is on the same point in time for LPS, a higher level of ambition and a higher level of leeway that we will have to come with. Nevertheless, I want to be very clear that our comfort level overall for our guidance remains really strong. So with this, I would like to hand over to René, who will walk you through the financials of the Sartorius Stedim Group.
Rene Faber: Thank you, Michael. And also from my side, a warm welcome to everyone on the call. Let me do a quick walk through the H1 results of Sartorius Stedim Biotech. We are very pleased with our operational and financial performance in H1. While customers remain cautious with investment in equipment, the underlying growing customer demand for single-use solutions is visible and our high-margin recurring consumables business continues to perform strongly across all regions and showed high double-digit growth. During the first half of the year, sales of Sartorius Stedim Biotech Group increased by more than 9% in constant currencies, reaching nearly EUR 1.5 billion. Growth in reported currency was 8.5%. Florian highlighted the book-to-bill ratio measured in as a rolling 12-month average remained above 1 and continued to improve. Underlying EBITDA rose significantly faster by a strong 19.3% to EUR 462 million, mainly due to volume and product mix effect. The corresponding EBITDA margin grew to 31%, up by 2.8 percentage points versus previous year, and the underlying EPS rose by nearly 37% to EUR 2.34. A brief look at the regional insights. Looking at the development, all regions grew strongly driven by the continued demand for consumables. The Americas region reached a substantial gain of 11% in constant currencies over the prior year period. EMEA grew by 8.7% and sales revenue in Asia Pacific region was up by 8.1%. Looking at the net profit and cash flow, the underlying EBITDA growth of a good 19% translated into an overproportional increase in net profit of 45% to EUR 154 million and underlying net profit of 38% to EUR 228 million. Operating cash flow remained solid at EUR 245 million, although below the high level recorded in the previous year, which was positively influenced by the reduction of -- in the pandemic-related inventories on our side. Positive effect from the higher operating income and lower tax payments in the first half of this year were offset by the growth-related increase in the working capital to ensure our delivery capability. Free cash flow was up EUR 203 million due to lower CapEx in H1, leading to CapEx ratio of 9.5% for Sartorius Stedim Biotech Group. As Florian mentioned, our CapEx plan for the full year assumes a significant increase in the investment activity during Q3 and Q4, which will bring our CapEx ratio up for the full year. Quick look at our key financial indicators, a strong ratio, equity ratio remained stable at nearly 49%. The increase in net debt is mainly attributed to higher lease liabilities and interest accruals, deleveraging progressing as planned with the net debt to underlying EBITDA ratio improving now to 2.7 by end of the first half. With that, let me now turn to our confirmed full year 2025 guidance for the Sartorius Stedim Biotech Group. Michael outlined that for SAG Group, we continue to project a revenue growth of approximately 7% with the guidance range, plus/minus 2 percentage points to reflect the volatilities we see in the market globally. Underlying EBITDA margin should be in the range of 30% to 31% and the CapEx ratio to be around 13%, and we anticipate the net debt to underlying EBITDA ratio to improve to approximately 2.5, down from 2.8 in the previous year. Additionally, you will find some data for financial modeling on that slide as well. And that concludes our presentation here. Now we welcome your questions in the Q&A session. Thank you very much.
Operator: [Operator Instructions] The first question comes from the line of Harry Sephton from UBS.
Harry Sephton: So on the book-to-bill ratio, the change in messaging from well above 1 at the first quarter to this rolling 12-month average above 1 and consistently improving has created some concern that sequential orders have weakened. So can you maybe provide some reassurance on new order trends? And if they have weakened, do you see this driven by some pull forward in demand early in the year? And then my second question, just on the guidance. You were comfortably above sales growth guide for Stedim at the midyear and are at the top end range of the margin guide. So why the conservatism for the second half of the year?
Florian Funck: So maybe I'm taking your first question on the book-to-bill. And as you know, we are refraining from giving order intake numbers for individual quarters, but rather think that the B2B sequential 12 months rolling is a better reflection. But as you have been also asking around the point of pulling forward or if we have seen pull-forward trends, I can underscore that we are not aware of any pull-forward trends neither in Q1 nor in Q2.
Michael Grosse: Yes. Let me maybe just briefly as well build on what Florian said here. I think we want to really reemphasize our way of transporting messages in line with the way how we are actually really steering and judging the business performance backwards and forward. Now again, I think you asked Harry on the forward-looking perspective. I think we took quite some time in order to penetrate and understand the quality of the orders that are at hand, looking at the opportunity pipeline and as well take the inputs from the various discussions with our customers on larger projects and thereby define the quality of the outlook. And this is really where we take our strong confidence that indeed, we reassure ourselves in terms of the overall guidance and -- as you have mentioned, we see potential upside opportunities on the BPS side, while the work on the LPS side is more challenging for us. However, we see both of that still within the guidance that we've given and with the level of uncertainty that we are expressing as well given a bit the macroeconomic and regulation headwinds that we are facing here. And then for the second part, maybe, René, you can add some light to the perspective.
Rene Faber: Yes, absolutely. So again, I think it's really promising and visible to see the overall trending in the bioprocessing revenues, and we mentioned that during the presentation that the continued growth of consumables and strong growth on consumables, both in order intake and revenues is very encouraging, and that makes us, as Michael said, makes us feel really comfortable with that we are on the right track and we are comfortable with the guidance confirmation here.
Operator: The next question comes from the line of Doug Schenkel from Wolfe Research.
Douglas Schenkel: So my first question is on guidance philosophy. So bioprocessing consumable momentum continues to build. On the other hand, demand for LPS instruments continues to lag expectations. With that in mind, I'm just wondering why not increase BPS guidance and reduce LPS guidance? And then my second question is really on the AAV category. Clearly, this is an area that remains under pressure. What is your exposure as a percentage of sales? What are you seeing in terms of customer demand in this category across different geographies? And how should we think about this category moving forward?
Rene Faber: All right. So maybe I take -- start with the second question on the AAV adenovirus based therapeutics. So it's one of the -- what you can call newer modalities in our market next to like cell therapies, gene-modified cell therapies or nucleic acid-based therapies, one of new modalities, which as we are looking at the new upcoming market, a promising additional set of modalities, which will drive the growth -- future growth of the bioprocessing business. So important one, maybe due to the recent developments in some clinical results, a bit under pressure, but still continues to be one of these major new modalities looking forward. I think what is encouraging from our perspective is that we have a strong position in not only viral vector-based gene therapies or therapeutics, but across all these new modalities being spec-ed in, in quite a significant number of the assets which are being developed in the customers' drug pipelines. So overall, still positive outlook, maybe even with the short-term headwinds, which we are seeing. But I think those underline the need for innovation in this type of applications and our strong position makes us very optimistic about the overall future outlook.
Michael Grosse: Thank you, René.  Back to your -- to the first part of the question, I mean, we really try in our outlook and perspective to balance, I would say, the underlying dynamics of the market itself, given the strong focus and the demand that we've seen on the fact that the hardware and the bioprocess utilization is increasing, production is there. So we see the trend in the order patterns when it gets to the consumer part of the business and actually both business areas, while as we expected, the dynamic on the hardware investments and the CapEx is still hesitant and will remain so. I would say, despite the optimism from what we see in our order books and in our opportunity pipeline and based on our customer dialogues, we still face the level of uncertainty given as well by the fact that we have the uncertainty given by the tariffs, the funding situation overall -- that's the reason why I think we feel the comfort on not only the guidance as such, but equally leave for the time being the range in there. And that is the reason why we believe in both businesses and divisions on the overall group level, we have, I think, a great comfort level to meet this range. And while we progress throughout the year and hopefully, you see the uncertainty to slow down and go down, we should be able as well to be able to see a more narrow perspective on the businesses and more clarity about the indeed opportunities that we may have in one part of the business and the challenges that we may face in the other part of the business.
Operator: We now have a question from the line of Nambi Subhu from Guggenheim Securities.
Subhalaxmi Nambi: Looking forward to working with you, Michael. My first question is LPS instrument demand remains under pressure, ostensibly due to a pause in investment in earlier-stage research. Looking more broadly, are you seeing any increase in activity when it comes to potential demand for new line build-outs on the bioprocessing side? And secondly, is there any slowdown on development stage bioprocessing consumables demand? I just want to make sure that bioprocessing consumables strength is balanced across commercial and pre-commercial initiatives.
Rene Faber: Yes. So I take the question -- the 2 questions. Not sure about the first part, if I got it right. So you're asking if the early research fundings somehow impacts the bioprocessing business. So if I got that question right, then actually, as you may know, the majority of the bioprocessing business and the revenues, especially consumables, recurring revenues come from commercial manufacturing. So our estimates around 60%. And then when including the late clinical trials, Phase II, Phase III, it's maybe well above 80% of the revenues coming from there. So limited exposure to that early stages for the bioprocessing business. And the growth we see to the second part of your question, the growth we see in the consumables, I think it's across the board, also, again, reflecting the split in commercial versus earlier clinical or clinical manufacturing. But I think here, it's -- and that's really encouraging to see the across the board, and we mentioned that across the regions, continued ongoing increase in the recovery in consumables. So that makes us really positive about regarding the outlook here as well.
Subhalaxmi Nambi: And can I quickly ask a follow-up? Can you remind us of how 3Q is typically seasonally slower in bioprocessing? What drives the seasonality?
Rene Faber: Yes. Look, if at all we can talk about seasonality in bioprocessing, I would rather call it quarter-to-quarter volatility, and it goes back to why we are rather looking at right now 12-month moving average numbers because this quarterly volatility is really not reflecting any kind of dynamics in our business. So maybe fair to say that typically, Q4 tends to be a stronger quarter and not really driven by any demand peaks. It's rather the ordering scheme of the customers than a seasonality in any demand for our products.
Operator: The next question comes from the line of Dylan van Haaften from Stifel.
Dylan van Haaften: Welcome, Michael. So maybe first question, just on continuous manufacturing. I think you mentioned 2 modules. Maybe zooming in on that, could you tell us sort of where you place those? How traction is lately and also how you're feeling about that segment and your competitive positioning? And then I have a second question after.
Rene Faber: Yes. Thanks for the question. I take that. So continuous manufacturing, how we look at that is being the leader in single-use manufacturing in our market, we continuously are working on improvement of this type of manufacturing, making the footprint smaller, making -- lowering the manufacturing costs. So it's an evolution of single-use manufacturing. With this improvement, we expect that more drugs, larger indications will be possible to be manufactured by single-use. So kind of increasing the potential and the scope of the market -- potential market. And yes, right, we have launched 2 -- first 2 modules with which we have or been developing with one of our key clients, plus a number of other clients who quickly joined the group of customers who I would call early adopters in the market to move to that type of manufacturing. So I think with that, quite ahead leading, it's important for us to be with innovation early in the market to be early with customers, helping them to adopt that innovation. So this is kind of the phase we are in. Now there is certain additional modules coming and other developments in our R&D pipeline, which now heading into the same kind of efficiency improvements in single-use manufacturing. So yes, thanks for the question. I think it shows that we continue to invest in the future of biomanufacturing and making sure that we keep and build on our leading position here.
Dylan van Haaften: Perfect. And maybe just another question, maybe opportunistically, just jumping in. Stock is down, I think, 10% or 12% right now. You guys aren't really giving us a lot of clarity on the order book, but I think you guys have really telegraphed as much that you wouldn't be. Like to what extent and maybe reflecting on the current share price reaction, to what extent do you feel that anything has really panned out differently in the second quarter relative to what you guys were expecting at the start of the year? And I think, Michael, you already said you were comfortable and very comfortable, but maybe anything to kind of squash concerns to some degree.
Florian Funck: So Dylan, of course, now with having the second quarter also in the books that is very much aligned to our overall annual guidance and looking at what we have in the order book, I can only once again mirror to what Michael has said, we are feeling really confident and well with our guidance.
Operator: We now have a question from the line of James Quigley from Goldman Sachs.
James Quigley: James Quigley from Goldman Sachs. So my first question is for Michael. Firstly, welcome. I appreciate it's just been over 3 weeks, but what are your first impressions of the group? What are you going to be most focused on as you start your strategic review process? And when and in what format should we expect to hear from the initial review, particularly as I note that third quarter results is just over your first 100 days. So that's the first question. And the second question, maybe for Florian. Tariff surcharges for the U.S. customers. So could you confirm that the guidance doesn't include any tariff impact as it stands? Do you have an estimate of what proportion of your U.S. sales could potentially be impacted by tariffs in the second half? Just to give us a bit of color of how to think about the potential tariff impact on the top line, which would probably be additive to the constant exchange rate guidance, but obviously not make a difference to the margin. So any color on what you expect the impact to be -- would be or at least some color and guidance of how we could potentially calculate that would be awesome.
Michael Grosse: Yes. Thank you so much for your question. And I think the way I look a little bit at my first impressions and a bit of where and how to set focus. I mean, first of all, as I mentioned upfront, I'm truly impressed by the clarity of the direction in the company by the foundation when it gets to depth of knowledge of the people, a focus on the customer and the customer workflows and challenges and their need for solutions, the innovation, creativity and can-do mindset of the people to accelerate now innovations and solutions in order to strengthen our value and even further relevance to our customers' challenges and opportunities and needs. At the same time, I think it's probably too early in order to highlight focus areas for the strategy process that we are now diving into. But of course, I see for sure, the continuation of the strong agenda as defined by my predecessor, Joachim Kreuzburg, with a particular focus on accelerate value-driven innovation, technology acquisition and application and stay focused on our customer base and customer needs. While at the same time, I see as well that complementary in addition to the focus on innovation and technology, there will be remaining pressure in the market in terms of the health system, cost pressure on the broader pharma industry. So the focus and our own, I would say, ability in order to drive speed of our innovations to market and our ability in order to deliver and strengthen operational performance and live up to our promise to customers to simplify progress for the customers through our solutions, but equally for ourselves, making sure that we remain and stand out to do business [indiscernible] business with. These will for sure be elements of driving customer experience, focused innovation and success in operational performance and resilience as we move into the strategy cycle. And then with that, I hand over to Florian on the tariff question.
Florian Funck: Yes, James, thanks for your questions on tariffs. And first of all, I can confirm that the guidance that we have given is pre-tariffs. And of course, it's in constant currencies, as I already referred to. Now you have been also asking about what is our view on the possible tariff impact, what might that act? And currently, we are operating in a 10 percentage point blanket tariff environment. And given that environment, as I said, the impact on the H1 and Q2 numbers were quite low, mid-single-digit million euro amount to increase in H2. And over the full year of 2025, we are in this kind of 10 percentage point blanket tariff expecting a tariff impact of around about 1 percentage point additional sales. And as we have also talked about in our Q1 call, simply by that inflated top line, there might be some dilution effects on the profitability, not less absolute EBITDA, but of course, the margin might see smaller dilution effects, and we are estimating these dilutionary effects on the underlying EBITDA margin to be 30 to 40 basis points based on that additional 1 percentage point in top line.
Operator: The next question comes from the line of Richard Vosser from JPMorgan.
Richard Vosser: Two, please. First of all, when I look at your 12-month rolling orders up to the end of Q2 and the revenue development in H1 for BPS or Stedim, it suggestive of double-digit growth for the entirety of '25 including the first half. I understand necessary conservatism and volatility, but is there anything particular that stands out in terms of the drivers, given what the orders are on that 12-month rolling basis and the first half orders that leads to that sort of a slowdown? And then the second question, we've seen that you had a system upgrade in around April, I think, and early May that led you unable to take orders maybe for around 4 days. So we're wondering if that had an impact on orders in the quarter? And also wondering whether we should be anticipating the rolling 12-month book-to-bill to consistently improve in Q3 as well.
Florian Funck: Yes. Thanks very much, Richard. And once again, you have been asking about order intake. I think we have already talked a lot about that. I also stated that the order intake in H1 grew stronger than sales did in H1. And you were also then using the word slowdown, while I don't see how on our rolling 12-month basis, where we report consistent increase, I would not use slowdown, but rather this is a positive development of the underlying business. You were also talking about our system upgrading. And honestly, this was a massive system upgrade because we transferred all of our systems worldwide to S4/HANA. And we used, of course, this -- yes, in Germany, it's Labor Day 1st of May, as you know, this longer weekend to drive and shut down all our systems, get the new system in place and then ramp the system back up. This has had no real impact on the customers. That process went super smooth. I'm very proud of all the teams that have worked on that and we were back as planned and we're even able to reduce that we had the time for HyperCel by 2 weeks. So we are now on latest tech worldwide using these 4 ways. Not expecting that to have any reflection in our numbers in H1 or Q2.
Richard Vosser: Excellent. And my first question was trying revenue developments in BPS or Stedim. I know I mentioned orders, but I was just wondering revenue development, if possible, and that was what I was referring to in the second half.
Florian Funck: Yes. And I would say with the kind of statements that Michael and also René did about their comfort level with the guidance given this is giving you the right direction how positively we are thinking here going forward.
Operator: We now have a question from the line of Charlie Haywood from Bank of America.
Charlie Haywood: Charlie Haywood, Bank of America. Just one, given the underlying dynamics you're seeing and I guess, fairly confident commentary today, would it be reasonable to think you could achieve a full year bioprocess book-to-bill close to your prior long-term average of 1.008 and where you're trending at first quarter? Or would it be more reasonable to think of full year '25 as a transition year for the book-to-bill from your 1.0 in 2024?
Rene Faber: Yes. So I take that question. Right, we have been talking about that 1.08 book-to-bill like being in normal times kind of average book-to-bill ratio we would expect. What I would say is we are well on track to get there moving in the right direction. As we said, the positive continued development, so all heading towards that -- or close to that number.
Operator: The next question comes from the line of James Vane-Tempest from Jefferies.
James Vane-Tempest: James from Jefferies, if I can. Firstly, you mentioned you haven't seen any pull-forward demand, but several industry surveys of procurement officers at CDMOs and pharmas have pointed to some of this behavior ahead of potential tariffs. So what gives you confidence there hasn't been some impact from this? And then my second question is, again, you mentioned confidence in guidance, but more BPS versus LPS. I understand the uncertainties, but with LPS at minus 4% in first half, what are the building blocks to get to the top line LPS guidance, which assumes a steeper acceleration in the second half?
Rene Faber: So I take your first question on the pull forward. Yes, so we heard the questions from investors and analysts, of course, a few months ago already, and we talk to customers, we try to understand, is there anything relevant happening in terms of pulling orders to kind of pre-produce drug materials to avoid or to reduce the impact -- potential impact of tariffs. So honestly, I would not say we can talk about a trend here. In the most of our discussions with customers, we hear not is not the case. Maybe in single cases here and there, some customers might have done that, but it's not a scale or relevance which would impact in any way our development of our numbers, both order intake and sales in H1.
Michael Grosse: Thank you, René for that part. I'll just take a short perspective there on your question with regard to the LPS guidance and indeed, the performance in the first half of the year. Let me take and bring a bit broader flavor and perspective and context to the LPS business as such. I think you will all remember that there had been a significant expansion of laboratory capacities in '21, '22 and even partially '23. That was accompanied by substantial investments in instruments, followed by a period of, I would say, rather muted demand. We believe that the market may have reached now a floor with the performance expected to gradually improve in the coming quarters. We had several new products, as I mentioned earlier, in Q1, some of them really rather unique, some of them really in the bull's eye of the growth areas. And we see very encouraging customer feedback and reaction to those introductions, which indeed does strengthen our confidence both not only in the consumables, lab consumables and services, but equally into the instrument sales as we move into the coming quarters. Now -- well, at the same time, I talked a bit about the analysis that we've done, not necessarily on seasonality, but more on, I would say, sales and order patterns. We can say that for LPS, but I think overall broadly, the second half of the year is stronger than the first one. I think we really think that we should have a very strong fourth quarter. And yes, we realize that the LPS guidance is somewhat ambitious and for sure, more ambitious than what we have noted already on the BPS side and the group side, but still realistic. And that's the reason why we want to hold on to it at this stage.
Operator: We now have a question from the line of Thibault Boutherin from Morgan Stanley.
Thibault Boutherin: My first question is just on the BPS equipment outlook. If you could come back a little bit on what is the incremental versus the message in the first quarter because this seems to be quite similar with discussions with customers, but no orders materializing. So I guess the question is, what's your expectations for H2? And when you think about the BPS guidance, do you need a recovery of BPS equipment to do the top end of the BPS guidance? Or can you get there with just a strong recurring BPS business? And then second question is just a general capital allocation question for both Michael and Florian. There was at some point in the full year '28 guidance, which may or may not still be relevant, but that guidance included inorganic contribution. So I guess if you could just tell us what the balance is between the focus on deleveraging versus any inorganic growth ambition in the midterm would be helpful.
Rene Faber: All right. So let's take the first question on the equipment BPS. So what -- as already mentioned, we have seen a slowdown in equipment over the last number of quarters, stabilizing, again, still continuing very positive encouraging discussions with customers. And I think Florian and Michael mentioned that still there's this hesitance to sign the orders. Overall, we can -- we see that more capital stronger companies are easier. So here, we see quite a promising development. Overall, I think what is also important to see and how we look at the installed base and the utilization of installed base, I think that's an important indicator of the activity level, how customers are using the installed equipment. We see continued increased utilization. So the consumables, which are linked kind of to the -- to the equipment installed are growing well, double digit across -- on average across the years, showing that the underlying demand for single-use technology is there, is growing. That makes us very positive that we are approaching the point of where installed equipment is utilized and new will be installed. We see replacement of equipment also happening. And I think part of your question was how much the guidance relies on the equipment in H2. I think we have well calculated in the moderate development of equipment into our guidance. We don't see any risk coming from equipment to achieve the guidance.
Florian Funck: Yes, Thibault, let me comment on your question regarding capital deployment and M&A. First of all, let me say that we are not seeing any strategically white spots that we would need to fill in the short to midterm at this point in time. After the Polyplus acquisition, we have set clear course on deleveraging. We are well underway on this path and deleveraging also stays a high priority on the agenda. Having said that, you have also seen that we have done in Q2 now with closing beginning of Q3, a small acquisition around organoids and cell tissues with the acquisition of MatTek and LPS, which is a smaller acquisition to complement our portfolio in certain interesting and growing fields. But this is, of course, not transformational. I would rather regard this as add-on. And also on the deleveraging, this acquisition will have an impact that is below 0.1x on the leverage ratio that we're having. So of course, we are looking at market. We are watching the market. We are also from time to time, looking into certain possibilities coming up. But we stay also committed to deleveraging to our deleveraging part. And I can tell you that there are currently no larger M&A projects that we are actively working on.
Operator: The next question comes from the line of Charles Weston from RBC Europe Ltd.
Charles Weston: It's about the regional difference that you've reported in Q2. The Americas, I appreciate this is a reported number, but was up 1% in Bioprocess, which is significantly lower than EMEA and Asia Pacific. and was up 1% in LPS, which was significantly outperforming EMEA and Asia Pac. So just wondering if you could give us some flavor around the recovery cycles and the demand cycles across the different regions. And when touching on Asia Pacific, could you call out anything we should be thinking about in terms of China?
Rene Faber: Thank you for that question. I'll start with the BPS, the regional development. I think it's fair to say that the recovery, especially in the consumables side happens across the regions. We mentioned that in the sales growth across the regions, you're referring to U.S. or Americas, the quarter view, which I would say that indeed reflects the quarterly volatility we have, and that's why we don't think it's right to look at single quarters. Overall, the robust across the regions recovery is happening and maybe a little timing effects we see in different regions, but overall, robust one. China, before I hand over to Alexandra to comment on the LPS side, China is a region where also there, we see the positive trend and recovery in consumables that's very encouraging. So the destocking over or getting towards the end in that country as well. On equipment, low level, stable, which, yes, we'll see how it moves forward. We see China as a really high potential region. There is a strong innovation power to develop new drugs. So overall, long-term optimistic today, rather stable first positive trend on consumables recovery for BPS.
Alexandra Gatzemeyer: Thank you very much, René, commenting on LPS, and I will start from China specifically. China for LPS play quite a significant role. We know that it's in a low teens contribution of China to total LPS, and we would say that at the moment, we are kind of stabilizing on the bottom -- on a rather low level performance in the region. We have strong presence in the regions. We have several production plants, and we produce instruments there for local market. And we see that government is very much base buying decision for China made in China instruments, and that's why we also, as René mentioned, for bioprocess side, seeing certain opportunities in the future to drive performance there from the bottom line where we are now. Looking at the quarterly performance, you're absolutely right. In Q2, we saw that Europe on comparison to 2024 were rather low versus North America, but it's you could say is kind of onetime effect because if you look on 2024 for North America, Q2 was the weakest quarter, which is absolutely unusual for Lab Products business. We have very quarterly driven seasonal performance. We have Q4 the strongest then Q2, then usually Q1 and Q3. But last year, Q2 in North America was slow. That's why on this comparison, you see that North America kind of stronger than Europe, but this is just because of 2024 results.
Operator: [Operator Instructions] The next question comes from the line of Charles Pitman-King from Barclays.
Charles Pitman: Welcome Michael. Just a quick clarification before my question. Just when you said that the order intake in 1H '25 grew more than sales, I just want to confirm that you're not implying the 1H '25 book-to-bill was also, therefore, above 1x, and that's just the base effect on the numbers. And then my key question is just on the conversion of orders to sales. Did you see any change in the conversion of customers taking in their orders in 2Q '25? Did this -- has this been impacted by the tariff uncertainty? Or has this remained consistent over the past few quarters?
Rene Faber: Yes. So on the second question, not really. No changes we would see in the ordering pattern, how we call it, by our customers over the last few quarters. So nothing special to mention here.
Florian Funck: And honestly, the first question I didn't get.
Charles Pitman: Just -- so what you said earlier was that orders grew more than sales in 1H '25. I just want to confirm that, that does not imply book-to-bill for 1H '25 as a half was greater than 1x.
Florian Funck: Yes. I think we've said that we will not communicate about individual quarter or part year book-to-bills, but rather would comment on the rolling 12 months book-to-bill.
Operator: We now have a question from the line of Oliver Metzger from ODDO BHF.
Oliver Metzger: One question on the equipment orders. So you said in an answer a few minutes ago that you see the current level as a trough. I also recognize you mentioned some higher expectations for the last quarter. Are these higher expectations linked to annualization or basically also a base effect or also the link between that equipped orders -- equipment follows consumables at one point of time. And so the whole equipment cycle should improve. That's my question.
Florian Funck: Let me comment or start with the comments and my colleagues to chime in. First of all, generally, normally, after you have built capacity, which was the case during the pandemic heavily, you then see a, first of all, a consumables-led recovery. And then at some point in time, if the capacity utilization raises after a recovery in consumables, you normally can also expect an increase in equipment orders to build additional capacity on top because, as you know, we are operating in an industry that has strong fundamental underlying growth drivers. Secondly, now looking a little bit more into the shorter term. I think the confidence that we're having about the trough in the equipment business is also related to what we are currently seeing in the order books.
Operator: The next question comes from the line of Odysseas Manesiotis from BNP Paribas.
Odysseas Manesiotis: A quick one for Florian first. So on inventory write-downs, looking at 2024, these were quite high compared to pre-pandemic at around 5% of your sales versus around 1.5% pre-pandemic guessing due to volatile demand environment and supply chain issues at the time. So where do you expect to land this year on that metric?
Florian Funck: So we are still seeing an increased level of inventory write-downs, as you have said. And of course, this also had a somehow dampening impact on our profitability. But we are seeing that these write-downs are coming down, not, of course, at this point in time, fully back to normal, but we are expecting a continuous reduction of that level over the course of the year, but also then going further into 2026.
Odysseas Manesiotis: And one quick one. So on the seasonality or as you put it earlier, René, on the quarter-to-quarter volatility in both Q2 '24 and in '23, book-to-bill was actually the weakest something that wasn't the case pre-pandemic and potentially making this quarter look like an improvement to the past couple of years. I just wanted to know whether there's any change in customer mix or market-wide ordering trends that is making Q2 a generally weaker book-to-bill quarter than historically.
Rene Faber: No, I think, again, previously commented on that, that it's rather now, I would call, a normal level of volatility we see not linked to any specific demand volatility on the customer side.
Operator: The next question comes from the line of Delphine Le Louet from Bernstein.
Delphine Le Louet: I will focus for Florian some question, please, and considering the operational performance that we've been seeing over the course of H1. I'm trying to think about what's going to be the future when it comes to the level of the margin and specifically to the gross margin and to the adjusted EBITDA margin with the recurring business? And how should I think about H2 versus H1, considering the hype we've been seeing? Any insight on that, that you want to share with us?
Florian Funck: Thank you, Delphine. So you've seen that we had a very healthy start into the year where our margin at H1 is already close to the upper end of our margin corridor now for the group. We are seeing also looking forward, of course, also based on the fact that the recurring business will be the driver for performance also going forward, good signs to have a further on healthy margin development going forward.
Delphine Le Louet: Okay. And so you don't see any particular seasonality. I mean it's really much driven by the recurring proportion within the business, if I'm assuming correctly?
Florian Funck: Yes. We have always oftentimes in the past seen that Q3 because of the summer months might be slower in terms of turnover, of course, has then some negative operational leverage versus Q4. But on an H1 to H2 basis, I'm confident and positively looking into the second half of the year.
Delphine Le Louet: All right. And a follow-up, if I can, and specifically, sorry, for the -- regarding the new product launch and modalities. Can we get a sort of revenue ambition when it comes to this new sort of offering you're proposing to the clients? And when are we going to see that the traction is going to be visible into the revenue? Is it something to play for '26, '27? Or already -- I mean, you were talking in the press release regarding MatTek incremental to growth. But is these new 2 modalities you were alluding to are going to be contributors to the growth into already '25?
Florian Funck: Yes. I'm sorry to say we are not giving any concrete targets for the sales or the sales ramp-up. But as you can imagine, of course, there will be a ramp-up over time. And for us, it is important that it's not a one-trick pony that we are talking here about, but it's a constant flow of new products coming through the pipeline.
Operator: We now have a question from the line of Tom DeBourcy from Nephron Research.
Tom DeBourcy: Just in terms of your capacity investments, I know the multiyear expansion is still ongoing, but I had a question just around sort of also related to tariffs. And I think it was the last earnings call, you talked about there was maybe 33% opportunity to co-locate or relocate some products. Are you using some of, I guess, the expansion, Puerto Rico or other locations for other markets also to kind of hedge yourselves or maybe future-proof yourself as you think about potential additional tariffs or reactionary tariffs that are really hard to forecast?
Florian Funck: So first of all, let me repeat what we also said in the Q1 call that we are well above 1/3 of the products that we're selling in the U.S. that are also produced in the U.S. where we see an additional around about 10 percentage points that we can ramp up. We have started to take decisions into this direction, be it in product lines like filters, but also in cell culture media kind of things. So this is going on and it's one part of the toolbox that we are having to limit the impact of the tariffs. There's even more possibility, of course, to increase capacities in the U.S. That's not only [ Yalco ] It's also at other locations where we are present. And of course, the longer and the stronger these kind of tariff environments are, the more adoption muscle we will build up to counterbalance these effects.
Operator: Ladies and gentlemen, that was the last question. Please refer to the Sartorius IR team for open questions. I would now like to turn the conference back over to Michael Grosse for any closing remarks.
Michael Grosse: Yes. First of all, many thanks. It's been a real pleasure to e-meet you. And as I said in the beginning, I remain very excited about the opportunity in order to start together with my colleagues to write the next chapter of our Sartorius growth and success story. I look forward to meet you and to work with you, as I said earlier as well, and I thank my colleagues for the tremendous preparation and as well the tremendous business focus that we remain focused as well on the second half of the year in order to fulfill and continuously say what we do and do what we say. I want to end here as well in order to recognize very briefly an extraordinary individual with Petra Kirchhoff who has unfortunately decided to leave Sartorius. But at the same time, I want to make absolutely clear that we're absolutely tremendously grateful for Petra's outstanding contribution over the last more than 2 decades, I would say, of being the voice of the company, the image of the company and very much shaped, I think, the recognition and reputation of our company in the internal and external world in the capital market as much as for the media. And I want to thank you for your tremendous contributions, for your sense of finding the right words, telling the right stories, for your personality, for your warmhearted perspective, for your deep insight into the industry and okay. Petra, I cannot take all of that. So again, in front of all of us and in front as well of the analysts from the capital market, really, really a big thank you for your great contribution. We will dearly miss you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.